Operator: Ladies and gentlemen, thank you for standing by. Welcome to the News Corp. First Quarter 2012 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Mr. Reed Nolte, Senior Vice President, Investor Relations, News Corp. Please go ahead, sir.
Reed Nolte: Thank you very much, Marla. Hello, everyone, and welcome to our first quarter fiscal 2012 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer; and Dave DeVoe, our CFO. First, we will give some prepared remarks on the most recent quarter. Then we'll be happy to take your questions, first from the financial community, and then from the press. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-Q for the 3 months ended September 30, 2011, identifies risks and opportunities that could cause actual results to differ. And these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and a reconciliation of such measures can be found on our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call, such as segment operating income, adjusted earnings per share, and adjusted net income, are expressed on a non-GAAP basis. The GAAP to non-GAAP conciliation of segment operating income and the EPS in net income reconciliation is included in our earnings release. And with that, I'll turn it over to Dave.
David F. DeVoe: Reed, thank you, and good afternoon, everybody. As you've seen in today's earnings release, we're off to a great start for fiscal 2012. Total company revenue for this year's first quarter was up 7% compared to the first quarter a year ago, led by mid to high teens revenue growth for the Cable Programming and Film Entertainment segments. Total segment operating income in the first quarter was $1.39 billion, a 21% improvement over the $1.15 billion reported a year ago. All segments, with the exception of Publishing, reported double-digit growth. Included in this year's first quarter results are $130 million in pretax charges in other net, reflecting a fair market adjustment on our Sky Deutschland convertible securities and a fee related to the withdrawal of our BSkyB business in July. Additionally, the company recorded a $91 million pretax restructuring charge, and this is principally related to the company's United Kingdom newspaper business. Net income this year was $738 million, and this is down slightly from last year's $775 million result. Excluding the net income effects of the onetime items in both years, principally the items I just noted, the first quarter adjusted net income this year is $823 million or $0.32 per share, as compared to the year ago adjusted result of $759 million or $0.29 per share. In addition, you should note that last year's first quarter result included a net tax benefit of approximately $90 million or $0.03 a share related to the resolution of various tax matters. With that, I'd like to provide some comments on the first quarter performance and just a few of our business. Let's start with the Cable Networks. Our largest profit generator, which accounted for over 55% of News Corporation's total segment and operating income this quarter. This segment continues to drive the overall company's result, with first quarter segment operating income contribution of $775 million, and this is up 18% in the aggregate, and reflects 16% growth in our domestic channels, and 25% growth internationally. This growth continues to be top line driven with segment revenues up 13%, affiliate revenues at the cable network increased 12% over year ago's levels, and advertising revenues grew 17% and this reflects particular strength at FX, the Fox International Channels, and at STAR India. The revenue growth demonstrates the continuing strength of our Cable Network franchise. FX ratings are up 17% so far in calendar 2011. And in September ranked as the #3 most popular cable channel among adults 18 to 49. This is its highest monthly ranking in its history. The FOX News just finished its 56 consecutive quarter of operating income growth and looks to gain more momentum as the year progresses with the upcoming election cycle. And our strong international channels growth reflects particularly robust affiliate fee increases in Latin America from subscriber and also from rate increases, as well as noteworthy advertising increases in India from continued rating leadership and also market growth. The Film Entertainment segment reported first quarter segment operating income of $347 million, and this is up 24% from the result we reported a year ago. Higher film studio contributions were driven by the very successful worldwide theatrical result of Rise of the Planet of the Apes that generated over $450 million in worldwide box office receipts, as well as worldwide home entertainment contributions from Rio, the biggest selling family title ever for an August release, which is on track to sell over 9 million units worldwide. First quarter results also include certain licensing revenues from the Avatar theme park deal with Disney. At our Television segment, operating income in the quarter of $133 million increased 27% over the first quarter a year ago. This growth was driven by double-digit advertising increases of the broadcast network and higher retransmission fees that were partially offset by higher marketing expenses related to the launch of our new fall series. Higher advertising revenues of the broadcast network reflect a continuation of the [indiscernible] national ad market and higher ratings, as well as a broadcast of the 2011 Emmy Awards. Season to date, Fox Network 18 to 49 ratings are up over 17%. At the stations, advertising revenues were below year-ago levels due to lower political spending. Excluding politicals, local station advertising revenues in the quarter were essentially in line with a year ago. Turning to SKY Italia, first quarter segment operating income increased approximately 45% to $119 million from last year's reported $82 million. And on a local currency basis, operating income improved 32%. This improvement is largely the result of lower program expenses from the absence of the World Cup cost that were included in the year ago result, and lower marketing costs reflecting last year's rebranding campaign. During the quarter, SKY Italia surpassed the 5 million subscriber mark with approximately 34,000 net additions in the quarter. And as you may remember, a year ago, the programming packages were reorganized and the price point of the soccer package was reduced. These actions have had the anticipated impact of stimulating subscriber growth, lowering the monthly ARPU to approximately EUR 40. Two months ago, in September 1, we initiated a EUR 2 per month price increase. Quarterly sack decreased approximately EUR 50 on average from the first quarter from last year, resulting in lower marketing costs. In our Publishing segment, the first quarter segment operating income of $110 million declined 38% compared to a year ago. The $68 million decrease reflects the impact from the closure of The News of the World in United Kingdom, as well as lower advertising revenues at the Australian newspapers in our integrated marketing service business. These declines are partially offset by higher advertising and circulation revenues at The Wall Street Journal. In Other segment, we reported a first quarter segment operating loss of $99 million, a $57 million improvement from the prior year, and this is principally due to the absence of MySpace losses. Before I turn to earnings guidance, I'd like to update you on our $5 billion stock buyback program. Through November 1, the company is spending a little over $1.9 billion repurchasing approximately 117 million shares. As we announced in July, we intend to complete this program within one year. We remain committed to that time period. Now let me address our guidance for fiscal 2012 and as a reminder, we measure this guidance excluding from fiscal 2011, the $125 million litigation charge results in a base of $4.975 billion and segment operating income from comparative purposes. In early August, we gave guidance anticipated in our segment operating income growth rate for fiscal 2012 to be in the low to mid-teens range above the $4.975 billion fiscal 2011 segment operating income base level. So far, businesses remain on track with our expectations. As a result and based all of the assumptions inherent in our projections, we are maintaining our operating segments income guidance for fiscal 2012 to a growth rate range of the low to mid-teens above the fiscal 2011 adjusted result. With that, I'd like to turn the call over to Chase.
Chase Carey: Thanks, Dave. With so much of the press coverage in News Corp. in recent months focused on the News of the World issues in the U.K., our earnings call is actually a good time to shift gears to talk about our operations. I'm in no way minimizing the importance of the issues we face in the U.K., or our commitment to properly address them. However, there's not a lot more that I can say beyond what has already been said. That is, we are cooperating fully with the authorities in their investigations, and we'll do what is necessary to make things right. So I really want to use the next few minutes to talk about our operations and assure you that in spite of the time spent on the U.K. issues, the last few months have been a time of real progress in driving our business toward both our short and long-term goals. As you've just heard from Dave, our businesses are on course to meet our financial targets for the year and we're off to a great start. The strength in our businesses was wide and deep in the just completed quarter. At the Fox studio, our Film business is off to a strong start, and we see a stabilizing Home Entertainment business, while our TV production group continues to be a leader with a lineup that comprises 8 of the top 20 scripted series in TV. On the Broadcast side, FOX is off to its best fall start in memory, and our stations continue to improve margins and market share. The advertising market has also been an area of strength with September quarter ad sales up over 15% at FOX and in our Cable business in aggregate. We scatter a double-digit premiums to the up front and both. While we have limited visibility looking forward, the national market continues to be solid, although scatter is not quite as strong as it has been as scatter premiums have pulled back slightly. We should also note that we're in very good cash position going forward given our strong up front, and cancellations are in line with historical experience. The local market remains a bit softer and after a slow start this September quarter, we had a good finish. Our business has slowed a bit in the December quarter where it looks to be down about 10% or flat excluding politicals. Our Cable business both domestic and overseas just gets stronger with channels like FX setting new rating highs, and FOX News continuing to be a juggernaut. Internationally, we now reach over 1 billion cumulative subscribers, up over 15% from a year ago, and fee businesses like STAR India lead Indian Television and set new program genres, and setting market share levels not seen since 2005. While the Italian and German SKY platforms will lead chats hundred of thousand subscribers in calendar 2011. The one segment with headwinds was Publishing. Nonetheless, The Wall Street Journal was up on both advertising and subscription dollars in the first quarter. It was also a quarter where we continued to execute our initiatives that will enable us to achieve our goals for long-term growth and profit to cash flow. We continue to invest in content with the belief that the expanding appetite of digital platforms will make unique content more valuable than ever. We've added new hit programs like New Girl, X Factor and American Horror Story. At the same time, that existing series like Sons of Anarchy just get stronger. On the sports side, we've added the UFC and World Cup, both franchises with enormous growth potential to our roster of premium events sports content. And we're not just focused on the U.S. content. For example, SKY Italia has recently completed agreements for the exclusive rights to the UEFA Champions League and renewed our Series A Soccer with expanded rights to include mobile and digital extensions. We have also become more focused in acquiring broad international rights to targeted series. The Walking Dead was a real success for international channels, reaching about 10 million viewers across 122 countries with the recent Season 2 premiere. We look to replicate that success when we launch American Horror Story in most countries next week. Another priority is to build on our continent brand strength to build the subscription revenues of our channels, including FOX to retransmission agreements. Our just completed agreement with DirecTV is a critical step forward in reaching the financial targets for our channels. We believe we reached a deal that is fair for both of us, and we look forward to continuing to work with DirecTV in the future, in a spirit of partnership that enables us to both grow successfully. We've also continued to pursue an array of opportunities related to emerging digital technologies. These range from licensing our content in a disciplined manner to digital distributors, to building our own digital platforms and content. We now have authentication deals in place with DISH, DirecTV, Verizon, and Mediacom, to increase our viewership while maintaining copyright protection. This is becoming an increasingly important part of our business with VOD viewership of individual episodes of series like Terra Nova exceeding 5 million. We also made the decision with our partners that Hulu was more a valuable platform for us to own and build revenue cell. We recognize that a partnership can be a complicated ownership structure, nonetheless we believe owning the leading digital platform provides us invaluable opportunities to shape and build our digital strategies. In addition, we completed a transaction to strengthen our religious Publishing business with the acquisition of Thomas Nelson for about $200 million. Our Publishing is not the sweet spot for our growth efforts. We are going to intelligently manage the business we're in, and take advantage of unique opportunities to create value. This is a transaction where it deployed only a modest amount of capital to achieve significant synergies that will be accretive and generate returns far in excess of our most aggressive hurdle rates. Overall, we're excited about our future and we believe we have the momentum to continue to be build on our current strength. Thank you.
Reed Nolte: Thank you, Chase. And now, Dave and Chase would be happy to take your questions.
Operator: [Operator Instructions] And our first question will go to the line of Michael Nathanson with Nomura Capital.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: I have one for Chase and then just a quick clean up question out for Dave. Chase, let's turn to FX for a second. If you look at the backdrop for general entertainment cable networks, there's definitely some choppy ratings for some other guys this year. Can you talk a bit about what has to happen differently, maybe this year, to grow ratings? And I guess just sustainability of the German cable networks, that'll be my first question, and one for Dave.
Chase Carey: I think FX is really -- while general entertainment category I think what it is done is really distinguish itself with series that stand out and I think that's important in any of these businesses, is you don't want to sort of just be part of a genre. You wanted to have series like The Sons of Anarchy, Sunny in Philadelphia, American Horror Story, there are unique series that clearly resonates what the real segment is the audience. And I think John Lancraff [ph] and his team there have done a great job of sort of -- I mean particularly last year really continuing to distinguish FX and have it be a brand that's sort of represent something unique while widening its audience, get into things like Two and a Half Men and adding some of the movie inventory, that broadens it without losing its distinction. And I do think it's a channel that really resonates as being a unique franchise with a lot of viewers out there.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: And then for Dave, you talked a bit what did FX do internationally for advertising for close yields cable networks for the quarter?
David F. DeVoe: The effect on the currency?
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: Yes.
David F. DeVoe: It's relatively minimal, it's 2% to 3%.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: Okay, so both advertising...
David F. DeVoe: Overall, yes.
Operator: And next, we'll go to line of Alan Gould with Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: Chase, when you describe the business, you often talked about $1 billion buckets, and one of those buckets is the RSNs. Can you just give us some -- and that's kind of contentious with what's happening, say what happened with the Lakers and what's happening with the Dodgers and sports cost in general. Can you just address what's happening, with sports cost in the RSNs?
Chase Carey: First, we're outside L.A., most of our countries is pretty long term. We do have a situation that is long going in L.A. contrary to the questions I got today, we're not buying the Dodgers. But clearly in L.A. there's a dynamic we're dealing with. It's not new, we've dealt with these dynamics before. We navigated in Dallas and restructured the deal. I'd say sports probably becoming more complicated and I think that's just a reality in the market place. In some ways in a market with more and more choices of fragmentation, sports rights probably become more and more unique. It's a little bit of a double-edged sword, I guess I talked about before. They're great properties of unique value, but probably increasingly complicated to deal with the rights and cross around. I think we've proven the ability to navigate those pretty well. Again outside Southern California we got pretty long term agreements in place. I think we feel we'll be able to navigate Southern California reasonably well. And again, I guess I point to our track record of saying we have a track record of navigating these issues and knowing how to deal with it.
Alan S. Gould - Evercore Partners Inc., Research Division: And you're still confident there's a path to that being $1 billion EBITDA business?
Chase Carey: For sure. I mean its big business now, and we said really, barring that one region, we've got multiyear agreements in place in almost all the places I think.
Operator: We'll go to the line of Jessica Reif Cohen with Bank of America.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: For Chase, and I guess one for Dave also. I think you said on the last call that the fiscal first quarter would be the slowest for the cable networks. Is that right? And can you talk about the timing of when the DirecTV deal kicks in and what the impact of an NBA strike will be for the RSNs?
Chase Carey: Actually I don't remember the comment on the first quarter, so I don't -- I can't even, sort of...
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I think maybe you said there will be a steady set of ramp as the year goes on.
Chase Carey: Well, we have agreements that come off, obviously DirecTV is one of them, and it’s a new agreement. The new DirecTV agreement was not in place in the first quarter, it will be in place, not everything's at the same time. So they come up ever times but the DirecTV going to affect after the first quarter but being in this fiscal year. And again I think also said we have, particularly in news of retrans ongoing. We have agreements that are coming up where we have targets we're looking to achieve. So those things will occur as we go through the year.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And the NBA strike?
Chase Carey: NBA strike. We hope it settles. We'd like it to settle. It is not a significant financial event for us. We'd rather have the games in place, but there are certain off set it against it if we don't. So we off sets in rights fees but we have that off set to the degree we have impact in terms of advertising and subscription. So it's not, it would not be an event that would materially affect our financials for the year though we'd like to see them settle it, and we'd like other games to play.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And Dave, I mean your buyback, you're probably going to get this question from now on forever, is the buyback has been real way faster than I think most of us thought so far. So could just give us your current thinking on once you went through this which at this pace will be January or February. And given the incredible cash position, how should we think about ongoing capital returns?
David F. DeVoe: We've been aggressive with it. It's going to basically -- we're going to continue to buy back the stock base on the conditions over the markets, means pricing a lot of different things. And I just think we first got to get through the $5 billion buyback, and then we will address it when it's through. I think Chase is pretty elaborate with respect to our explanation for our use of capital in December or excuse me -- in August rather. And we intend to continue to work towards those financial goals.
Operator: We'll go to the line of Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: I just wanted to clarify, the $91 million restructuring in the newspaper segment OI [ph] did?
David F. DeVoe: The $91 million is below the line, yes.
Benjamin Swinburne - Morgan Stanley, Research Division: Below segment operating income?
David F. DeVoe: Yes, it is.
Benjamin Swinburne - Morgan Stanley, Research Division: And then may be on the ad market, you guys talked about scatter pricing in the bit nationally, local a bit weaker. What are you guys think is happening there? I mean a lot of us had thinking that so much money movement into the upfront that just less scatter volume kind of some downward pressure on pricing. Is that how you guys see the world at this point and I know I should have noticed for sure, but what's your best guess on what happen as they move into Q1, a real calendar Q1 on the scatter pricing and more so the underlying trend is in national Television advertising?
Chase Carey: I'm really not giving I mean if there's one thing that's true is it's really -- it's a tough market with bad visibility. And clearly, you got a market that used to be pretty strong, but continues to be a market where people have pretty short leashes. So I think it is true, the fair amount of money that went into the upfront certainly for us, we did. We were aggressive in the upfront and made up a conscious decision to be aggressive about pursuing volume in the upfront and felt it put us in a good place for the year. The market really doesn't have that type of visibility, it changed it pretty fast. I mean scatters continue to be pretty good. I mean when I say it got softer, it got softer last 7 or 10 days. So these are not long term trends. the trends that like stations. They were a little eager in September, July, and August, then got better in September and October, and then get a little weaker the last few days again last week or 2 again. So as the market as inflows but realistically as a -- pretty -- continues to have a pretty good underpinning to it. Now it helps, I think, if you got unique stuff to sell and the network is doing well, the FOX News well, if got the belong unique stuff, so I think we are pretty good place to be selling that product that people want to buy.
Operator: Next, we'll go to the line of Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: A couple of questions. Hulu, Chase, I'm just curious, if the usage of your content, I think, Hulu platform has changed at all since you moved to a full ad load? And then just curious if you're seeing acquisition opportunities, that management believes could prove interesting, knowing you're not going to give any names, but I think there's a general view that management's hunkering down given the U.K. situation, focusing internally on execution I just want to make sure that we understand management's mind set relative to deployment of capital?
Chase Carey: The first question on Hulu, I'm probably not going to make a lot of -- I mean, pretty early, we only did this in the last sort of it really did become relevant to moving it while we move the window in August, it wasn't until you got, we feel very good about it, it's working for us. So I think that's clear. I think we feel that the decision to put the inventory in is the right one. We think consumers accept that it's part of getting a broader experience. But I think for us we think clearly it was the right decision to win the product the way we have and it is actually been a positive for us in terms of creating value. The second question in terms of...
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: The second question is the BSkyB deal had to be set aside or was set aside and then a large buyback was announced that you have moved quickly on, and I think there’s a view by investors that you guys are very focused internally right now. And I just wanted to make sure that the market has management's mindset correct. Could you see a series of acquisitions starting to develop or should we think that you're continue to focus internally on buybacks?
Chase Carey: I think as I said strategic we feel we're pretty complete. And I think our focus first and foremost is really build the value of the businesses we got. But in particular some places we can have things that fit within that but there targeted as I said, sort of in the tens and hundreds. But I think it's correct to say our focus is clearly operationally and to a degree there are other things fit within our operations and added dimension that we can create real value out of. But I think we'd be opportunistic. But first and foremost, we are really driving our businesses to what we think is at a potential to take them up to another level over the next couple of years.
Operator: And next, we'll go to line of Richard Greenfield with BTIG.
Richard Greenfield - BTIG, LLC, Research Division: Could you just with -- cable networks now becoming such a large portion of the operating cash flow, could you detail roughly the relative size of affiliate versus advertising when you look across your entire global footprint for your cable network division? And then I think you grew 9% domestically, this is going to touch on earlier questions, but how do you think about now the visibility towards high single low double-digit type growth rates for affiliate fees domestically given the type of contracts you just cut with DTV. Then just maybe a split to relate to that, Jeff earlier today kind of touched on the beginning and that the channel household as a reason for some of the pressure on affiliate fees, I'm just curious whether you're seeing the same thing, or how that affects the first question I asked?
Chase Carey: I mean it obviously varies by channel. So it's tough to generalize. You get something like sports, there's always going to probably -- the one end of affiliate -- it is clear, significantly more than half of it is affiliate, with significantly less I'm not sure we'll get it to real precise, but clearly the affiliate side is significantly more than half, there's a real range when you go across the channels. I think we feel pretty good about -- as we look out next few years about sort of maintaining the momentum we've had on the affiliate side. I mean to some degree, and again these are not new topics for us, they're unique to us. I think our channels are newer. You got channels like FX that are a long line talking about strength of FX but are still a long way from the TNTs, and USAs, and Nat Geos, that are a long way from Discoverys. And FOX News is obviously become -- we've gotten a lot further, but in some ways still a long way from what I think it represents its importance in the marketplace...
Richard Greenfield - BTIG, LLC, Research Division: And so when you look at things like TNT...
Chase Carey: A lot of the deals are coming up, so I do think when you look at the value, the fact that our channels are newer, that there are places for us to go in terms of the agreement, the overall aggregate, cost of the business is something we have to be constructive about in effect. I meant it when I talked about DirecTV, we're looking to reach deals that fairly value our business and get the DirecTV deal, achieve the targets we want to achieve. But we want -- these are partnerships and we want distributors to be successful as well as us. I think the bundle has allies a great package of great value to consumers, and that I think it's highly valued by them, you do have a market that's mature and therefore you see it in the subscriber numbers. I'm not saying you don't have that market that's clearly maturing, and I do think some of the economic issues are creating some pressure at the edges. And I think we all have to deal with that. I think that's a valid issue that we have to deal with. But we feel pretty good about our business as where they're going, certainly international is a very different story because international, you're a lot places your earlier stage is the growth. The growth is still clearly in front of you, and I talked about the present subscribers just in the last year and there's a lot left to come, and their probably our businesses -- while we're a leader in the marketplace even much earlier stage in terms of the ability to take share and grow into those marketplaces, including in developed markets.
Richard Greenfield - BTIG, LLC, Research Division: And can you just give us a sense when you look at the USAs, the TNTs of the world versus an FX, how wide is that gap in your mind still today as you look to reset contracts with DirecTV and others?
Chase Carey: I think we feel we should be -- I think FX, except for 3 rated 18 to 49 network. We're widening out in the content with some of things we put on it so I think right now as FX goes up, it should be competitively valued.
Operator: We'll go to the line of David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: A couple of questions. First, I was wondering if you can comment on what you're seeing and want in cancellations on the network side? The second is, can you talk about the timing of the revenue recognition for the Amazon content deal that was signed recently? And then last, if you look at the recent direct deal, at least in general terms, were you -- I guess renegotiated the FOX News channels affiliate fees a little early, can you talk about some order of magnitude we might be expecting in terms of step ups as that affiliate base begins to rollover over the next couple of years?
Chase Carey: Amazon, we recognized the Amazon deal we announced in the December quarter. Netflix, we recognized that in the first quarter. We got actually couple of things we've done and that will come in the second quarter.
David Bank - RBC Capital Markets, LLC, Research Division: Amazon is in the current quarter?
David F. DeVoe: No. That's what is in the first quarter, there's more to come in Netflix, and there's an Amazon deal will be all in December quarter.
Chase Carey: With DirecTV, I'm not to get into the specifics, as I said. I think we feel FOX News is a unique channel obviously retransmission we've talked about. I think we achieved the targets that we look to achieve, but again I think we hopefully did it in a way that is constructive for both us and DirecTV, but I'm not going to -- clearly there. As we said, things we've been looking to achieve in retransmission and we continue to stay on track. And I think as FOX News comes up, we think there is an opportunity for us.
David Bank - RBC Capital Markets, LLC, Research Division: And what is your cancellations options?
Chase Carey: Marketplace, but I'm not going into percentages or numbers.
Reed Nolte: While we have some time for several additional analyst questions, I would like to remind members of the press to just start queuing up.
Operator: And we'll go to the line of Spencer Wang with Crédit Suisse.
Spencer Wang - Crédit Suisse AG, Research Division: Just 2 quick questions. Chase, I was wondering, given your global footprint, if you could talk to what you're seeing in terms of advertising trends in Western Europe given some of the uncertainty going on there? And then secondarily, X Factor ratings seem like that they've been pretty good, but maybe under-delivering versus some of the audience guarantees. Is that financially problematic at this point, or is it in line with your expectations?
Chase Carey: Advertising in Western Europe is okay. I think probably in some of the places you'd expect there's an impact in Southern Europe, Spain, I think there are some countries where it's weaker, there are some countries where it's bad. So it's a bit of a mixed bag, but I'd say overall it's okay. And X Factor, we got a #1 show, we make real money off of, which is why we just picked it up for a second year. And we don't have any make good issue on today with the whole network. It is a show that probably always talk when it comes out, probably came out a bit lower when the targeted pretending. We have real hopes that we move into an early one live episode on and a real opportunity for that show to build momentum but right now, it's plays every night. With 2 nights a week, we're at solid wins. We feel pretty good when you got a show that can do that.
Operator: We'll go to the line of Tuna Amobi with Standard & Poor's.
Tuna N. Amobi - S&P Equity Research: So Chase I was wondering if you can update us on the home video market and how your titles are performing relative to the industry, and any special programs that you're running for the holiday?
Chase Carey: Yes, I mean I think the Home Entertainment market, it is not a dramatic shift. I think it continues to follow the track, we hope it would, which is the -- Obvioulsy Rio was a title that really exceeded our targets for it. We have titles as we go into the holidays. But our hope has been that Blu-ray would continue to grow, that Digital would continue to grow, and I think we are seeing after a period where that Home Entertainment factor had been dropping where you've got -- seem to have a stabilizing of that business and hopefully as we go out a little further, which would probably be really on the digital side, that opportunity in the next couple of years to have some growth in. But it's too early to really say it's stabilized, but it did better than it was. And if you look at Q3, Q1 for us, it was up a touch. [indiscernible] Then they make a grand long-term [indiscernible] for one quarter, but I think it feels like a business where incrementally some of the things like Blu-ray and digital are getting traction, starting to offset some of the declines in the historical areas.
Tuna N. Amobi - S&P Equity Research: And with regard to Redbox, I know that you've been somewhat dismissive in the past, and I'm wondering how your views have evolved in the past couple of months given developments there, including the price increase, which they've just announced. Do you feel that at some point that you might be a little bit more receptive to kind of a factoring those kind of channels into your overall window and strategy?
Chase Carey: Again, I think we are continuing to sort of try to develop windows that properly value our strategy. There's $1 or $1.20 it's tough to get excited about that, that is something that property values our product. I think the 28-day window helped, we'll continue to evaluate what it is, but we need to make sure our product is fairly valued, and we are windowing it in a way that enables us to capture the real value in our products.
Operator: We'll go to the line of Adam Alexander with Goldman Sachs.
Adam Alexander - Goldman Sachs & Partners Australia Pty Ltd, Research Division: I'm sort of focused on SKY Italia, that business seems to have gathered a fair bit of momentum through the weak economic environment. Could you give us an update on where you think that business is hitting maybe over the next 2 or 3 years?
Chase Carey: Look we feel great about the long-term future of that business. I think our focus continues to be what it has been, which I'd say at this point is focusing on growth and particularly subscriber growth. I think we're competitively in the business as we have been for a while but before it got sort of digesting some of the things that came out as regulatory-wise and otherwise couple of years ago. And I think we've got real momentum to that business. And I think the real opportunity to really focus on again growing the subscriber side, growing the top line and behind that over the next couple of years into profitability growth will follow, but it doesn't mean we're not probably the bottom line too and obviously this quarter is indicative of that. I think the short-term priority is continuing, which I think we've really put momentum back in the business, continue to maintain momentum in the business, but have that profitability start to incrementally fall through as we go through the next few years.
Operator: We'll go to the line of Vasily Karasyov with Susquehanna Financial Group.
Vasily Karasyov - Susquehanna Financial Group, LLLP, Research Division: I wanted to follow-up on your comments on local advertising. I think in the last recession it was Rupert who said that he saw a downturn coming in the winter of '08 based on softness in local advertising. So I was wondering in light of that, do you see any worrisome signs, or if we were to look for some what would they be, when the softness in local advertising would still enter broadcast and cable?
Chase Carey: Yes, again, you don't have a lot of long-term visibility so I think it has been a little bit up and down when you take out politicals, local would actually be about flat without politicals, so it's not -- you'd like to see it better but it's not like it's got a decline, more serious decline in it. I think it's tough to really have a long term picture. I mean, I talked about again already in the 4, 5 months we've had this year we sort of started a little bit weaker, got stronger then it's gotten a little bit softer. So I think it seems to bounce around and I think there are some obvious things that helps the segments like the auto segment, I think the auto numbers just came out pretty good. So there are, I think that which seem to reinforce what has been a reasonable, particularly after the earthquake in Japan, a reasonable strength in the marketplace. So I think it helped other than looking at the macroeconomic issues, which I think when you say why is the visibility limited, what is it that creates probably an issue that people look at is sort of macroeconomic issues some of these sovereign debt or deficits, the real estate markets and I think companies are reasonably healthy and the consumer spending is not what you'd like it to be, but it continues to model along. So I think we'll be careful. We'll continue to monitor it, but I don't think I can make any grand statements about it. One question I guess I didn't answer before on the question on the cancellations. Right now, our cancellations to the upfront are essentially in line with our historical practices, so there's nothing. And again, we sold pretty heavily into the upfront marketplace. So cancellation position is pretty much the same to what we've had in the past.
Operator: And we'll go to the line of James Dix with Wedbush.
James Dix - Wedbush Securities Inc., Research Division: I just wanted to squeeze one follow-up in. So are you saying that in terms of the current quarter, the change in the pace of the ad growth at the local stations has been a little bit greater than the kind of the softening you've seen in the scatter market? I'm just trying to get a sense as to whether you seeing any differential in terms of the level of softening at the local versus the national level.
Chase Carey: I think the national market is stronger than the local level. I think the national markets clearly been really all throughout this year, the national markets is stronger than the local.
James Dix - Wedbush Securities Inc., Research Division: Yes, I was just looking for the inflection.
Chase Carey: Nationals been stronger.
James Dix - Wedbush Securities Inc., Research Division: So the national hasn't changed as much as the local in the current quarter?
Chase Carey: You got a solid national market out there, scatter premiums are not like what they were. I mean double digits in the first quarter, not quite there. You still have premium but you still got a solid national market, a bit softer, but still very solid national market. I say it got a bit softer local market. Again flatfish without politicals, but the national markets been stronger than the local market.
James Dix - Wedbush Securities Inc., Research Division: Okay. And then on the international side, if you could make some comment as to where you are in your international cable network margins? And what your progress is towards hitting the $1 billion bucket in operating income there. Do you think you could actually be tracking to get there before 2015,which is I think what you've indicated at some point.
Chase Carey: We are comfortably on targets. I'm not going to change anything, I'm not going to change any expectations. I'd say we're comfortably on target, with our plans for that. There's many channels [indiscernible] it's tough to make generalizations. So clearly when you got a business that is growing top line, we do expect there are opportunities top and bottom line in terms of margins.
Reed Nolte: Thank you. Marla, now we'd like to go to the press questions, if we can.
Operator: [Operator Instructions] And our first question, we'll go to the line of Andrew Edgecliffe-Johnson with Financial Times.
Andrew Edgecliffe-Johnson: Chase, have you taken all of the cost of The News World closure in this quarter? And can you update us on what you set aside to cover legal exposure to phone hacking cases.
Chase Carey: I'll let Dave. I think we preserved...
David F. DeVoe: Just to be clear, with respect to what's in the quarter to the extent that we have any legal case or losses that have been started against us, we have full reserve for those costs are included in the quarter or were included in the liability at the end of June. With respect to the charging, we put a large restructuring charge through in the first quarter, and that reflects the reduction of principally of severance payments to employees in the U.K.
Andrew Edgecliffe-Johnson: Can you just clarify what you set aside on the legal front?
David F. DeVoe: Nothing
Operator: We'll go to the line of Dawn Chmielewski with Los Angeles Times.
Dawn Chmielewski: Gentlemen, with the ongoing investigation phone hacking by Parliament and the Metropolitan police in the U.K., is News Corp. contemplating any management changes, particularly as they relate to James Murdoch?
Chase Carey: We have great confidence in James. James has done a good job, and we are not contemplating any changes.
Operator: We'll go to the line of Claire Atkinson with the New York Post.
Claire Atkinson - Lead Business: I wondered if I can ask about the progress of TV Everywhere. We heard from David Zaslav yesterday at Discovery about how there might be some negotiations happening outside of traditional carriage renewal deals, I wondered if that's going on? And also, how much extra you can expect to receive from cable operators or [indiscernible] operators in terms of incremental revenue for those streaming rights?
Chase Carey: I think largely -- I think we actually are getting some more, what I call it authentication, it's usually late last quarter’s [indiscernible] sort of what you're saying, I think it's got momentum that it did, probably still not as much as it should. Though, as I said earlier we've gotten a series of authenticated deals done with Direct, DISH, Verizon, Mediacom. And those are all reasonably recent. So I do think you've got some more traction than you've had. I mean most of these are sort of all part of one negotiation. That doesn't mean you can't deal with these outside a channel renewal. I don't think everything can wait for a channel renewal, but today, I'd say, they probably more bit of an occurring channel as channel renewals occur, but we are certainly engaged within the right distributors where those discussions are not based on channel renewals. So I think you've got a better momentum, probably not enough momentum to authentication than you've had in the past.
Claire Atkinson - Lead Business: And on the incremental revenue front, is there a way to sort of breakout how much extra the cable operators are willing to pay for those streaming lines?
Chase Carey: Again, I think if you look at the point, it's mort part of the base agreement you have for the channel. I think the incremental comes out -- in some areas they are coming out on the advertising side as they talked about the viewership of Terra Nova as an example, the number of viewers you're getting, we got ad loads in it. So there's a incremental value of capturing those views on a VOD basis, through keeping up ad rates and capturing the ad dollars work from a subscription basis we really look at it more as part of the overall core agreement.
Claire Atkinson - Lead Business: Are you concerned in any way about the fall off in cable videos subs at the moment?
Chase Carey: I don't think it's surprising. I mean I think you've got a business that in effect is pretty mature in terms of households that have it and some economic winds that are clearly a reality today when you look at the foreclosures and other unemployment, those factors are a reality. I think the ones that I think it's fair to say we have to address those pressures on that segment of the marketplace. But I don't think it's surprising what you're seeing, I mean longer-term, I already asked a question whether is the 24-year-old that doesn't subscribe to cable grows up, what happens in years to come, but I think those are sort of not in the next 2 to 3 years, they're sort of in a longer term time context, but I think the value of the cable packages continue to be pretty compelling.
Operator: We'll go to the line of Yinka Adegoke with Reuters.
Yinka Adegoke: I was wondering, after the Annual General Meeting with several directors received a fairly low votes, not a family related votes in being reelected. Is News Corp. considering other change in the structure, the Board or looking at new directors of joining the Board?
Chase Carey: We take those votes seriously. And the Board will, and is discussing those votes. We continue to -- on an ongoing basis about the Board, and we just announced a new board member last month, we announced a new board member. So the Board continues to evolve. We certainly take those votes seriously, and we're proactively looking from our shareholders. And we want to have that engagement. That being said, I think we're proud of the Board. I think the Board has provided unique leadership and value to the business. But it is something we'll discuss with the Board.
Operator: We'll go to the line of Paul Bond with The Hollywood Report (sic) [Reporter].
Paul Bond: Back in April, when you announced that [indiscernible] would leave. You said that she and you guys were going to make some documentaries here in FOX News, I guess from FOX News. Whatever became of that?
Chase Carey: You're going to have to ask Roger [indiscernible], I don't know.
Reed Nolte: At this time, I think we've run out of time. Thank you, everybody, for joining the call. If you have any further questions, please call us here in New York. Thank you.
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay after 6:30 p.m. Eastern Time today through November 16, 2011, at midnight. You may access the AT&T playback service at any time by dialing 1 (800) 475-6701, and entering the access code 220402. International participants please dial 1 (320) 365-3844. That does conclude our conference for today. Thank you for your participation, and for using AT&T Executive Teleconference service. You may now disconnect.